Operator: Hello. My name is Victor, and I’ll be your operator this morning. I would like to welcome everyone to the Garrett Motion Conference Call. This call is being recorded and a replay will be available later today. After the company’s presentation, there will be a Q&A session. I would now like to hand the call over to Paul Blalock, Garrett’s Vice President, Investor Relations.
Paul Blalock: Thank you. Good day, everyone, and welcome to the Garrett Motion Second Quarter 2021 Financial Results Conference Call. Before we begin, I’d like to mention that today’s presentation and earnings press release are available on the Garrett Motion website at garrettmotion.com, where you will also find links to our SEC filings along with other important information about our company. Turning to Slide 2. We note that this presentation contains forward-looking statements within the meaning of the Securities Exchange Act. We encourage you to read the risk factors contained in our filings with the SEC, become aware of the risks and uncertainties in our business and understand that forward-looking statements are only estimates of future performance and should be taken as such. The forward-looking statements represent management’s expectations, only as of today, and the company disclaims any obligation to update them. Today’s presentation also includes non-GAAP measures to describe the way in which we manage and operate our business. We reconcile each of these measures to the most directly comparable GAAP measure. And you are encouraged to examine those reconciliations, which are found in the appendix to both the press release and the slide presentation. Also in today’s presentation and comments, we may refer to light vehicle diesel and light vehicle gasoline products by using the terms diesel and gasoline only. With us today is Olivier Rabiller, Garrett’s President and Chief Executive Officer; and Sean Deason, Garrett’s Senior Vice President and Chief Financial Officer. I will now hand it over to Olivier.
Olivier Rabiller: Thanks, Paul and welcome everyone to Garrett’s second quarter 2021 conference call. I will begin my remarks on Slide 3, where we provide our Q2 highlights. During the second quarter, we continue to benefit from the strong demand for Garrett’s differentiated technologies, and also our share of demand gains. As we discussed on our previous call, business activity has rebounded significantly since the mid year of the COVID-19 crisis in the second quarter of last year. Our reported net sales for the quarter total $935 million, a Q2 record. At constant currency our net sales increased by 83% outpacing global auto production by approximately 32 percentage points. Obviously, our year-over-year comparison is [indiscernible] given the unprecedented work stoppage resulting from the COVID-19 as many plants were shut down throughout Europe and North America in Q2 of 2020 due to the pandemic, while China was in the process of reopening. However, if we compare our results to Q2 2019, our reported net sales increased 16.6%. We believe this strong revenue growth demonstrates Garrett’s ongoing ability to develop and deliver the advanced technologies needed by our customers as they continue to focus on reducing CO2 emissions. The 2021 second quarter was not without its onset of challenges as our volumes of 3.4 million units, while up 84% year-over-year were impacted by the well-documented semiconductor shortage and other components supply disruptions, which goes many major OEMs to slow or idol production. The supply-demand imbalance also contributed to rising commodity prices and other costs. Although we believe these global supply chain issue is a temporary nature. The long lead times for components suggests the current constraint would extend throughout the second half of the year, before stabilizing in early 2022. We will discuss our outlook in more detail later on this call. Additionally, the COVID-19 pandemic is not over as many places around the world struggles from max vaccination and the volumes are adding another level of complexity. And our top priority, remains on ensuring the health and safety of our employees, while maintaining our GDP to deliver for our customers. For the second quarter, we generated adjusted EBITDA of $168 million representing a margin expansion of 480 basis points to 18%. Our success in preserving robust industry leading margins in volatile macro environment reflects our highly valuable cost structure and match global footprint and advanced supply base management. All of these elements enable our company to adapt quickly to the short-term market disruptions and ensure our production levels are in line with any changes in customer activities. Our Q2 margin also reflects the efforts we have made in controlling our costs and offseting some of the temporary government supported programs last year, in response to the COVID crisis. I want to thank all of our employees worldwide for their tireless efforts in maintaining a high level of performance in such a volatile environment. Their hard work and dedication are directly related to Garrett’s success in continuing to meet its customer commitments and deliver superior service. Going forward, we will continue to build upon our long standing track record of operational excellence to optimize our performance across the globe and further distinguish Garrett and meet the current macro headwinds. Finally, [indiscernible] we completed our Chapter 11 restructuring, a critical achievement for Garrett. While Sean will review our financial later, we emerged from this seven month process with a significant improvement and sheet with less debt. The restructuring also increased our financial and strategy flexibility by eliminating materially restrictive covenants and then seeing our position to pursue organic and inorganic growth opportunities. We also listed our new common shares on the NASDAQ Exchange, effective May 3, under our historical ticker GTX. We are pleased our financial restructuring is not behind us and believe our new capital structure and sponsorship will support our long-term viability. On Slide 4, we outline our technology growth strategy as we continue to execute in the near-term while investing and preparing to lead the market with differentiated solutions as the automotive industry continues to evolve. Globally, light vehicle turbo production volumes are expected to grow at an annual rate of approximately 6% from 2020 to 2025 according to HIS. With higher overall turbo penetration rates, particularly in gasoline and hybrid platforms combined with the new business win rate in light with previous years, we remain well positioned to improve our share of demand in the growing industry. For 2021, we have adjusted our schedule of new product launches to reflect the slower ramp up due to lower expected volumes in light of the current macro environment. But so far we have not been informed of any material launch delay. This includes our E-Turbo, which remains on track to start mass production in the first quarter of 2021, while deliveries to Mercedes AMG commencing only next year for their premium hybrid vehicles. Our first market E-Turbo is rooted in Formula 1 technology and probably Garrett E-Turbo was named finalist for the automotive news PACE Awards. This prestigious award program recognizes suppliers for cutting edge technologies that deliver superior innovation, technological advancement and business performance. We are honored by our nomination, Garrett’s first nomination in electrification. As demand for alternative energy sources continues to grow, we have also experienced increasing momentum for our fuel cell propagation technologies. This is consistent with the growing interest for hydrogen powered vehicles worldwide. In the second quarter, we received an important new business award for our GEN II e-compressor for fuel cells in China with production starting in 2023. Additionally, we plan on delivering prototypes of our fuel cell compressor technology to over 10 additional customers in 2021, representing bio diverse mix of traditional passenger cars and commercial vehicle OEMs, as well as fuel cell specialist. In terms of software, we recently launched our embedded model based predictive control technology with Hyundai. The launch is an important step in bringing this technology to the masses. Our unique expertise in handling in multi-variable controls in increasingly complex vehicle systems in real world conditions provides OEM with a differentiated solution for energy management and powertrain optimization. Importantly, our technology is applicable for all types of powertrain and can address a number of new emerging challenges we face in rolling our new energy vehicles. We believe the growth in our core business coupled with the increasing traction in our new electrical and software technologies, combined with our impressive financial performance and improved capital structure, and then see our ability to play a key role in the transformation of the powertrain industry. With that, I will not turn it over to Sean to provide more colors on our Q2 results.
Sean Deason: Thanks, Olivier and welcome everyone. I will begin my remarks on Slide 5. In the second quarter, Garrett reported net sales growth of 96% on a reported basis and 83% at constant currency. This impressive performance for the quarter reflects higher gasoline and diesel volumes across Europe and North America, but it’s primarily driven by the recovery from the COVID-19 crisis, which peaked in Q2 2020. As Olivier mentioned earlier, global auto production came to a virtual standstill for a significant number of weeks in Q2, 2020 due to COVID-19 with the exception of China, which experienced a similar trend in Q1 2020. On a sequential basis, our reported net sales were down 6.2% due to lower volumes driven by the semiconductor shortage. Adjusted EBITDA for Q2 2021 increased year-over-year by 167% from $63 million to $168 million, which equates to an adjusted EBITDA margin of 18%. In Q1 2021, our adjusted EBITDA and adjusted EBITDA margin was $176 million and 17.7% respectively. Like many in the industry, our performance in the quarter was impacted by lower sequential volumes, inflationary pressures and higher logistical costs associated with the global supply chain disruptions. In response to these issues, we flexed our organizational cost structure and worked closely with our more than 400 suppliers worldwide to help them remain agile as part of our advanced supply base management. In Q2, our adjusted free cash flow was $121 million representing a 134% adjusted free cash flow conversion rate, which we define as adjusted free cash flow over adjusted net income, as we maintain our focus on robust cash conversion. Lastly, we reported adjusted net income, which excludes reorganization items, unhedged debt exposure, restructuring costs and stock-based compensation for the second quarter of 2021 of $90 million. This compares to an adjusted net income of $21 million, which excludes the Honeywell Indemnity obligation expenses and litigation expenses, restructuring costs and stock-based compensation in the second quarter of 2020. In Q1, 2021 adjusted net income was $98 million. Overall, Garrett’s strong Q2 performance across all key financial metrics demonstrates our ability to grow, while adapting to a volatile macro environment. Turning to Slide 6. We illustrate our net sales by region and product line. In Q2, we increased our volumes and net sales year-over-year across all regions. However, on a percentage basis, the year-over-year challenges are an outlier due the impact of COVID-19 and they’re not an accurate representation of the normal course of our business. As a result, we added on this slide, the sequential changes from Q1 2021 and you see the percentage of net sales in Asia remained the same at 32% of net sales, while Europe and North America each changed marginally by 1 percentage point to 52% and 15% respectively. On the product side we show the percentage of net sales from gasoline was 37% in the second quarter down 2 percentage points from Q1 2021. Notably the limited chip supply has forced OEMs to prioritize essentially placing greater emphasis on producing larger, more profitable vehicles, which require a larger turbo with greater content and generate higher margins. This trend, while we believe to be temporary led to the delivery of fewer products for smaller gasoline engines in Q2 and an overall lower margin percentage of our total sales in the quarter. The sequential drop in gasoline was more than offset by increase in commercial vehicles and aftermarket product sales, both of which are higher margin businesses, diesel products declined sequentially by 1 percentage point, as this business was also affected by the semiconductor shortage. On Slide 7, we provide our net sales bridge for the second quarter. Overall, our strong top line performance in the quarter enabled Garrett to post net sales grew up at 83% at constant currency, representing a 32 point outgrowth over the industry. This follows our outperformance of 15 percentage points in Q1 2021, when we generated net sales growth of 26% at constant currency. All of our product lines increased year-over-year as expected, primarily due to the impact of the pandemic in 2020. Gasoline products were up $144 million representing an increase of 85% at constant currency over the same period last year. And diesel products in the quarter increased $138 million or 111% at constant currency. Additionally, commercial vehicles increased year-over-year by $82 million or 81% at constant currency, our aftermarket sales improved by $28 million or 40% at constant currency. The overall FX impact of $64 million in Q2 was primarily driven by a higher Euro to Dollar exchange rate versus Q2 of 2020. On a sequential basis, gasoline and diesel products declined 12% and 9% respectively at constant currency as discussed on the previous slide. Commercial vehicles and aftermarket sales increased sequentially by 3% and 13% respectively at constant currency, which had a positive impact on our Q2 sales mix, as these businesses have shown signs of recovery following the softer market conditions going back to 2019. On Slide 8, you see adjusted EBITDA walk for Q2 2021 as compared to Q2 2020. For the quarter, Garrett’s adjusted EBITDA of $168 million was up significantly compared to the same period last year, mainly due to higher volumes in Europe and North America. In the second quarter, our volumes sold 3.4 million units an increase of approximately 84% from Q2 2020 and down sequentially by approximately 10.5%. Our adjusted EBITDA margin in the quarter up 18% represented a year-over-year improvement of 480 basis points. On a sequential basis, our adjusted EBITDA margin improved 30 basis points. In addition to volumes, we benefited from a positive sales mix in the quarter due to temporary component shortages, as OEMs are placing greater effort in producing their larger, higher margin vehicles, as we mentioned earlier. So even though our sequential volumes were down along with our adjusted EBITDA, we improved our margin largely due to the mix impact. We also maintained our focus on productivity in the quarter as raising commodity prices led to higher raw material costs, particularly for nickel, aluminum and steel. We recovered a majority of the increase from our customer pass through agreements especially for nickel and continue to actively manage our supply base and cost recovery mechanisms to minimize the impact of materials cost inflation. SG&A increased by $4 million, however, these year-over-year results similar to our mix are clouded by the pandemic. In Q2 of 2020, we took a number of temporary cost control and cash management actions totaling approximately $30 million about one-third of which was under SG&A to combat the COVID crisis. Despite these significant and highly unusual pandemic related savings, our SG&A only increased slightly compared to the prior year period, as we remain focused on ensuring an efficient cost structure. The pricing offset of 3.3% in the quarter reflects the higher volumes in Q2 2021, as well as lower price reductions in Q2 2020 due to the pandemic. We expect pricing to return to more normalized levels of approximately 2% in the second half of the year. Finally, on this slide, our year-over-year incremental margin in the second quarter was 23% driven by our strong volume leverage and productivity gains in the quarter. The sequential decremental margin was just under 13%, which largely reflects the supply chain disruptions and related slowdown in global auto production, as mentioned earlier, partially offset by the mix benefit in Q2. Turning to Slide 9, we ended the second quarter with available liquidity of $662 million, including $401 million in cash and cash equivalents and approximately $261 million of undrawn commitments under our new $300 million revolving credit facility upon our emergence. Total gross debt, excluding cash was $1.25 billion as of June 30. This compares to $1.57 billion as of June 30, 2020. Our net debt total $846 million as of June 30, a reduction of $587 million from $1.43 billion as of June 30, 2020. It is important to note, total gross debt and net debt exclude the Series B preferred stock. As a reminder, we issued Series B preferred stock to Honeywell upon our emergence from Chapter 11, the Series B shares are not convertible into common stock and serve as a settlement with our former parent, restructuring our financial obligations to them into fixed annual payments that we can call in full at any time at a present value based on a discount rate of 7.25%. The present value of the Series B was $585 million as of June 30 or $835 million at face value. Additionally, Honeywell has a put option to redeem the full amount at the same discount rate, which would go live in the event our LTM adjusted EBITDA exceed $600 million for two sequential quarters. Honeywell may have the right to redeem the Series B preferred stock in accordance with its terms, as soon as the fourth quarter of 2021. We have ample liquidity to meet all of our financial obligations and are prepared should the Honeywell put option go live and is exercised later this year. As of June 30, 2021, our net debt to consolidated EBITDA ratio was 1.37 times or 2.73 times, including the Series B preferred stock. This compares to a net debt to consolidated EBITDA ratio of 4.08 times as of June 30, 2020. Also in emergence, we issued approximately $1.3 billion of new Series A preferred stock totaling approximately 248 million shares. These shares are convertible into common stock at a conversion price of $5.25 per common share and are currently trading over the counter under the ticker GTXAP. During the second quarter, we accrued $24 million for a quarterly preferred dividend. The preferred A stockholders are entitled to an 11% dividend per annum, however, we are not permitted under our new credit agreement to make any cash payments through December 31, 2022. Also on this slide, we show our improved debt maturity profile upon emergence. In all, our restructuring enabled Garrett to considerably increase its financial flexibility, reduce its future liabilities and payment obligations, as well as enhance its strategic flexibility. Following the removal of materially restrictive covenants that existed prior to our CLM filing. Going forward, Garrett’s improved balance sheet and increased strategic flexibility combined with our resilient financial results supports our ability to create substantial value for the long-term benefit of the company and its shareholders. Turning now to Slide 10, we provide our current forecast for the full year 2021. Although the demand for new vehicles remains high and inventory levels remain at historic lows. In certain regions, we remain cautious in our outlook for the second half of the year, given the high degree of uncertainty surrounding the ongoing semiconductor shortage and other components supply disruptions to fully meet this demand. We also expect higher commodity and logistical costs stemming from these global supply chain challenges to persist in the second half of the year. And it is too soon to tell the mix benefit from Q2 will carry over into Q3 and Q4. This is all in addition to the risk of production downtime due to ongoing COVID-19 related concerns. In light of the current volatility in the macro environment, our industry outlook remains fluid. But for planning purposes, we currently anticipate global light vehicle auto production to grow between 10% and 11% for the year and global commercial vehicle production is expected to grow between 3.5% and 4.5%. As of today, we anticipate 2021 reported net sales to range between $3.7 billion and $3.9 billion. This would represent an increase of 18% to 23% at constant currency supporting a high-single-digit or low double-digit industry outgrowth. Adjusted EBITDA for the year is expected to range between $590 million and $640 million with an implied margin of 16% to 16.4%. Our RDE and CapEx budgets as a percentage of net sales are fairly consistent with our targets from previous years, and our effective tax rate is expected to be in the low 20% range. Finally, we anticipate adjusted free cash flow, which excludes reorganization items related to the Chapter 11 filing and repositioning charges to be between $300 million and $400 million, positioning Garrett to further de-leverage and provide opportunities for shareholder value creation. We continue to track global macro events along with industry trends, and we’ll provide an update to our forecast on our Q3 call. With that, I will now turn the call back to Olivier.
Olivier Rabiller: Thank you, Sean. Turning to Slide 11, we are proud to have launch the company’s first ever sustainability report during the second quarter. The report outlines our commitment to robust environmental, social and governance or ESG management and highlights the commission of Garrett, enabling cleaner, safer vehicles. Our advanced global electrification and software solutions are key contributor in empowering automakers to address the industry’s most pressing issues from emission reduction to cybersecurity. We continue to support our global customers with transformative technologies to help them meet increasingly stringent environmental standards and the optimize vehicle health and safety, while enhancing overall vehicle performance. Additionally, the report focuses on the two pillars that support Garrett’s core mission, namely our culture of innovation and our responsible operations. We mentioned on our previous calls, our culture of innovation has enabled Garrett to offer a wide range of cutting edge technologies, all of which had been developed in-house. As we continue to bring differentiated technologies from the lab to the mass markets, our focus remains on drawing upon Garrett’s global talent with an emphasis on diversity and inclusion, as well as promoting a safe and engaging workplace. We also remain dedicated to operating in a responsible manner to ensure the long-term impact of our mission by being best-in-class policies and procedures to manage our environmental footprint and achieve regulatory compliance in the countries where we do business, we will enhance our ability to serve our global automotive customers in the decades ahead and help drive the future of sustainable mobility. And finally, the report provides our first external sustainability targets and the outlines progress we have made since going public in 2018. Our initial sustainability report represents an important milestone. As we share our vision for Garrett’s societal contribution, we really encourage you to learn more by reviewing the report, which is available on our website. Turning to Slide 12, I will close with some final thoughts. Although, I’m quite pleased with Garrett’s performance for the quarter, our strong net sales performance for the quarter demonstrate the continued demand for our advanced technologies and ongoing share of demand gains. Q2 net sales growth of 83% at constant currency outpaced global auto production by 32 percentage points. Overall, our performance for the quarter was impacted by global supply chain disruptions and raw material inflations. We drew upon our flexible operations to mitigate these macro headwinds, which allowed us to take full advantage of the favorable Q2 sales mix, as customers favored larger more profitable platforms. We also completed our financial structuring in the quarter, creating a new foundation that best positions, Garrett to achieve long-term sustainability growth and profitability. We are pleased with the outcome of this process and how the business continued to profitably grow throughout this challenging period, which reflects the commitment and perseverance of our highly talented global teams. As we move forward as a stronger, more financially sound company, we continue to focus on incubating new technologies and accelerating innovations to the market that will benefit from the electrification of powertrain and increasing interest in hydrogen fuel cell technologies. In accomplishing these objectives, I am confident that Garrett’s extensive engineering experience and the dedication of all employees has demonstrated over the past year. We continue to drive profitable growth in a transforming industry. This concludes our formal remarks today, and I’ll now hand it back to Paul.
Paul Blalock: Thank you, Olivier. And Operator, we are now ready to open the call for questions.
Operator: [Operator Instructions] Our first question comes from the line of Hamed Khorsand from BWS Financial. You may begin.
Hamed Khorsand: Good morning or good afternoon, depending on where you are. But first off, just want to ask you on the VNT for gasoline, what kind of traction are you getting in this environments and what kind of placement are you expecting to occur this year especially in North America?
Olivier Rabiller: Well, this environment is not changing the rate outlook we see for valuable geometry for gasoline. We are seeing big traction in Europe, as we said before, we expect if I’m not mistaken by 2023, that more than 60% of the volumes in Europe will be valuable geometry. We have also very good traction in China. We have traction in the U.S., primarily because there are a lot of engines that have been – that are developed outside of the U.S. that are on two platforms into the U.S., but obviously we are expecting that new CO2 regulations that could be a bit more stringent that what we’ve seen in the past, could boost the adoption of a valuable geometry into the U.S. as well. So we are seeing the early signs of that. But so far I would say, U.S. is still not deliverable what we see in the rest of the world. But the current environment doesn’t change anything to that. Car makers need to reduce CO2 emissions and therefore they need to work on the engines.
Hamed Khorsand: Okay. And my other question was, what’s the timing of your software business ramping? Why are you thinking that you – in this crowded space as a security, you would be able to capture much of the market share or any market share really?
Olivier Rabiller: So two things on that. First, to remind a little bit what we bring on the software, so on the software, we have three offerings. We have an offering around prognostic and diagnosis. We have an offering on model based controls, and we have an offering on cybersecurity. So people are looking at the software business as a big modernized, but it’s not, it’s much more fragmented than that. And let me pick up on a few. So if you look at the way today, cars are completely owned, whether it’s the issue of the engine, the calibrations of the powertrain, a lot of that is done with processes and methodology that have been coming from legacy practices of the automotive industry. We are introducing something that is quite new to the automotive industry, which is called model-based algorithm. You don’t need to calibrate an engine, or you don’t need to calibrate a powertrain for all the kinds of configurations. We do that with model based on physics. And this is a key differentiator. This is coming from outside of the automotive industry. And the rest of that, is the press release we released few months back with Hyundai, about one month and a half ago back, we showed that Hyundai is now adopting our technology on the crowded space of engine controls. So why would they introduce a new supplier like Garrett, if they had already what they need from the current incumbents? And that’s the point. We are going for technology differentiation. We are bringing something new. Same for cybersecurity. Cybersecurity, we came at it with algorithm that we’re competing not coming from incumbent of the industry, some of them were competing with the few startups. And we came with on top of that, the credibility of an industry or company and we secure business as well. We were providing something very specific. We are providing something very specific. We have a first SOP that’s happening at the end of the year. We have a second SOP that’s happening next year. And we are working with more customers on that. And we see the same onto prognosis and diagnosis. A lot of people in prognosis and diagnosis have been eye of going to legacy way, ongoing the pool now data driven way, data analysis driven way, and customers have realized that just a data algorithm were not enough in order to capture early the patterns that you would see from a reliability standpoint. And we are making very good progress with a few customers on that, because we bring something that is new to the space and differentiated. So we need to really split that sector well in different places. We are very pleased with the progress we’re making there. It’s not a big business for the time being it’s relatively modest in terms of size, but it’s validating the points of differentiation that we have developed. And it’s giving us a lot of credibility, quite frankly, in a world like the geometry world, when it’s not very often that you have a press release that is done jointly with your customers. I think one of the biggest customer on earth and on top of that Korean making a joint price for years about the model-based algorithm that we bring for controls means a lot to us. It means a lot to the industry as well.
Hamed Khorsand: Great. Thank you.
Olivier Rabiller: If I just could add before the next question. What we are developing is extremely bottom for the future of the automotive industry. There are a lot of translational missions going on, a lot of new kinds of powertrain, more complex vehicle architectures that will require that what we are developing right now. Okay. Sorry, let’s get to the next question.
Operator: Our next question comes from the line of Chris McIntyre from McIntyre Partnerships. You may begin.
Chris McIntyre: Hey guys. I was wondering if you could talk a little bit maybe about capital return policy. I mean, Honeywell is be able to put it to you probably in like two months. So I understand that sort of like top of the list, but sort of, maybe we could just talk about like what the plan is there. And also as a kind of secondary question, like when should we expect like the restricted has to become unrestricted?
Sean Deason: Sure. Well, I’ll start with the easier question, which is the unrestricted cash. We expect the unrestricted cash to be fully released by the end of the third quarter or very beginning of the fourth quarter, so at end of September, very beginning of October. And we have had a plan in place. That’s been a focus of us – the whole team since we emerged that is a bit of a carryover hangover from the Chapter 11 process we went through. But we expect it will be released in fourth quarter, early fourth quarter. Regarding capital return, you may have seen, we filed an 8-K we did amend our Series A certificated designation to allow for pro-rata common dividends or a share buyback. We did that and just have more flexibility. It doesn’t mean we’re going to actually start to do that, but we are – we would like to eventually get to a normalized capital structure and then have a conversation in discussion and guidance about how we would return capital, but in the short term, if the Honeywell put option does go live. We will – are in conversations with Honeywell, we’ll determine what works best for Garrett. But again, we have ample liquidity, should they choose to put the entire thing to us? And obviously, we can also call it at any time having just emerged a few months ago, we are still digesting the new capital structure and working with our new board by capital return policy is on our mind. And obviously, if we don’t have another use for the cash, delevering strategy at least in the short term, may be something we would consider. But I think I’ll be in a position to give you a much better guidance on that on our third quarter call, because then we will know better how the industry has performed and whether or not that put option is going to go live.
Chris McIntyre: Okay. Great. And then could you talk about the seasonality this year? It’s a bit of a weird. Normally, you’re stronger in the first half compared to back. But with the semi issues and frankly, all of the COVID wonkiness, let’s say of all the markets, I’m just kind of curious how we should be thinking about that.
Olivier Rabiller: I think you said it in your question, we were sitting and seeing it, that it was – it’s very not common, not only starting this year, but starting the back end of last year. You may remember that we had well biggest quarter ever in Q4 last year with a lot of that driven by China. And then, we had Europe ramping up very strongly in Q1. Then we have the semi con that does impacted us in Q2, like the rest of the industry. And now I seeing the question mark, and it’s pretty much what you see in all the latest release from everyone. The question mark is what position in Q3 and Q4, and that’s why we are staying quite cautious at this point to understand the different scenarios that could unfold in the rest of the year. We have contradictory information from the marketplace. Some people are viewing that suddenly the situation is getting better. Some people say that the situation would get better only in 2022 and it could even get stay quite low in Q3. We are probably on the side of people that are a little bit cautious before we see anything coming up for us. We are not having huge expectations for the backend of the year and that’s what’s reflected today in our guidance. But it’s – we are little bit switching to adopt like a lot of the companies trying to be as smart as we can on that. The strong points for all the companies will be to understand the way September is unfolding. July and August are usually not really good to paint the story about the backend of the year. September will be the time at which we’ll be able to say, okay, now we understand exactly where the end of the year is going.
Chris McIntyre: Okay. Great. I think just one final question. When we think about working capital and you used to run a negative working capital model with sort of like, there’s a lot of moving parts I got in the last 12 months to 18 months, let’s say, but sort of, when should we think about, like, maybe we’ll get back to that kind of a negative $200 million working capital.
Sean Deason: Yes. Well, I think in the second quarter, because of the volume slowdown, you actually saw the negative effect, typically on the way up, we’ll throw off cash. And as our revenues are up slightly and our volumes were down, you saw the opposite. And on top of that our inventory did also build up a bit more in that – in both of those effects are driven by this semicon shortage. The semicon shortage has really thrown our scheduling and planning into a bit of chaos just because the OEs are changing weekly and things they ordered, then they don’t pick up. And so it’s created a lot of challenges to manage our inventory. And then on top of that, with the slowdown, what you’re seeing is we’re paying out, right, our AP terms are much longer than our AR terms. So we’re collecting on the lower sales volumes, but we’re still paying for the much higher sales volumes, five to six months ago from the supplier side. But I think, I think you’re seeing inventory issue aside, and I think that negative working capital position is – we are in sort of a normalized trend, but we’re slowing down. So you’re seeing it unwind.
Olivier Rabiller: Probably something to add though, because it’s a question we had in the past, and it’s probably good to restate that point. We don’t have any negative effect on our working capital coming from the Chapter 11. So in the sense that we did not get to a position where we had to reduce terms with our suppliers and things like that, and that’s an important one to keep in mind. I mean, the fundamentals are working capital, are working the same now as it were working before.
Chris McIntyre: All right. Great. Thanks, guys.
Operator: Our next question comes from the line of Rajeev Gupta from Goldman Sachs. You may begin.
Rajeev Gupta: Hi. Thanks for taking my question. So I really had one around the capital structured, really just given the various moving parts here. So how do you think about the leverage going forward with the CDSB coming up and then also kind of the ongoing payment of the CDSK? So, I mean, like if I’m looking at leverage, in your presentation, you have defined it at both the term loan, as well as including the CDSB, but how should we think about it going forward from a target perspective on a medium to long-term basis?
Sean Deason: In terms of ultimately what our target liquidity would like to be – we would like our target leverage to be on a longer-term basis.
Rajeev Gupta: Yes. And also kind of from a capital structure perspective, like do you want to secure and secured tranches going forward, if it’s secured only in terms of that as well?
Sean Deason: As you stated, we have a rather complex capital structure. Now with the performance that the business is delivering and just put option and it could materialize if we hit the midpoint of our guidance, for example, the put option will go live in the fourth quarter. We need to assess whether or not there’s an interest on Honeywell side to put it. They have a short window to decide, and then we wait until the next reporting period. But clearly that’s something we’re looking at now. It’s something we can refinance. We have enough liquidity to deal with it on hand, and then we would probably worthy to put it to us. We would refinance it and go to the market, use some cash on hand, because as I stated earlier, we would release about $200 million by the fourth. And then probably refinance in the market, depending upon what instrument would depend on how the market is at the time. And going forward, we do aside from any other opportunities that may present them themselves, in terms of organic or an inorganic investment, we would like to focus on the deleveraging the exact target of that. Again, this remains to be articulated. We just came out a few months ago, so we are still digesting that full capital structure. But definitely what we would like to do over the next two to three years, four years is get to a normalized capital structure with effectively common in debt.
Rajeev Gupta: Understood. Okay. Thank you. That’s it for me.
Operator: And the next question comes from the line of Brian Sponheimer from GAMCO Funds. You may begin.
Brian Sponheimer: Hi. Good morning, everyone and welcome back. Just a question, your restructuring was more or less a financial one, it took place within the throws of a pandemic. I’m just curious from an operational perspective, if you’re thinking about your own cost structure, and I don’t want to take your breakeven point. But call it a breakeven point, let’s say from a fixed cost perspective, are you able to quantify cost outs that maybe make you a functionally more profitable company now than when you entered and understanding the borrowers was already very high?
Olivier Rabiller: I would start to answer the question. I’m sure Sean will add some more colors to that. But in term of principle, I’m not sure the triggering event to improve our infrastructure was the fighting, the triggering event was the COVID-19. And we’ve been using – because we are doing in this business, we are doing some level of restructuring every year. I mean, it’s like doing since I’ve commented on that all year. It’s like doing the gym. You need to do the gym on a regular basis to stay in good health, otherwise then the surgery is always more painful. So we are doing that on the business. And we were having already some plans that we had started to address the impact to the mix, to address the impact of an industry that before even the COVID-19 was slowing down and to address as well some of the points we see in the rebalancing of our resources to go after our new technology. So what we did basically is to take benefit of the COVID-19 crisis to accelerate these plans to make sure that we would get the benefit of them by the time the crisis would be over. And this is what we did. We did some significant restructuring in the course of 2020 or the beginning of 2021 that probably be on the high end of what we would have done at 10 years of point. And you can see that our cost, because if you compare to Q2 last year, and Q2 last year like many other companies, we are having a lot of benefits from one-off cost mitigation actions incentives given by governments to offset some of our fixed costs. And if you look at where we are today, we’ve been able to offset a lot of this positive impact of last year that would have come up as a negative this year. And that’s I think a key testimony to what we did in term of cost structure. But Sean can give you more details.
Sean Deason: Yes, that is true. However, in the second half as you look at our midpoint guidance there are some costs that will be coming back. We have planned to, for example, start to travel again. And those are costs that we initially had expected to have incurred in the first half, but under – but the COVID crisis have pushed out, now rain should be seen if that is potential upside again in the second half. But as Olivier said, we’re continuously looking at ways to streamline our cost structure. The crisis helped some, but really we took full advantage of the state funded aid. But going forward we are going to try to continue. We will continue to restructure where we see opportunity, but I would say our cost structure also is already in what we call high growth regions, quite a bit of it. And there are some opportunities to potentially look to taking further advantage of that on the supply side, as well as new production in other locations. But again, no concrete plans, we’re ready to disclose at the standpoint.
Brian Sponheimer: Okay. Thank you. And just one clarification on Honeywell put option that would be for the entire face value of what’s remaining under the Series B? Or would this be for that present value number on your balance sheet?
Sean Deason: It’d be for the present value, it’d be discounted to 7.25%.
Brian Sponheimer: All right. Thank you very much. And best of luck for the remainder of the year.
Sean Deason: Thank you.
Operator: Thank you. And this will conclude our Q&A.
Olivier Rabiller: Okay.
Operator: And this will conclude the conference call for today.
Olivier Rabiller: Thank you very much.
Operator: You may all disconnect.